Operator: Good afternoon. And welcome to Ladder Capital Corp's Earnings Call for the First Quarter of 2023. As a reminder, today's call is being recorded. This afternoon, Ladder released its financial results for the quarter-ended March 31, 2023.  Before the call begins, I'd like to call your attention to the customary Safe Harbor disclosure in our earnings release regarding forward-looking statements. Today's call may include forward looking statements and projections, and we refer you to our most recent Form 10-K. For important factors that could cause actual results to differ materially from these statements and projections, we do not undertake any obligation to update our forward-looking statements or projections unless required by law.  In addition, Ladder will discuss certain non-GAAP financial measures on this call, which management believes are relevant to assessing the company's financial performance. The company's presentation of this information is not intended to be considered in isolation, or as a substitute for the financial information presented in accordance with GAAP. These measures are reconciled to GAAP figures in our supplemental presentation, which is available in the investor relations section of our website. We also refer you to our Form 10-K and earnings supplement presentation for definitions of certain metrics which we may cite on today's call.  At this time, I'd like to turn the call over to Ladder's President, Pamela McCormack.
Pamela McCormack : Thank you and good afternoon, everyone. We are pleased to report, for first quarter of 2023 Ladder generated distributable earnings of $47.2 million or $0.38 per share, reflecting an after-tax return on equity of 12.3%. Our dividend remains well covered from net interest margin and net rental income. As of March 31, Ladder had over $600 million, or more than 10% of our assets in cash and cash equivalents, with $950 million of same day liquidity, including our unsecured revolver. Ladder remains modestly levered, with an adjusted leverage ratio of 1.8 times and 1.1 times net of cash and securities at quarter-end.  Subsequent to quarter-end, we forbid to leverage the company by paying down loan on securities, we vote by $87 million, both bringing our adjusted leverage ratio down to 1.7 times and reducing our interest expense by approximately $1.2 million per quarter. In the first quarter, we originated a $15 million multifamily balance sheet loan and funded $19 million on existing commitments. In addition, we've continued to see liquidity for our existing loans. Repayments in the first quarter and through April totaled over $147 million with $72 million of repayments on office loans, including the full payoff of five office loans. As of March 31, letters balance sheet loan portfolio totaled $3.8 billion dollars with a weighted average coupon of 8.72%. In addition to strong liquidity, we have modest future funding commitments of $290 million. And more than half of this commitment is contingent upon a creative good news leasing. We are well positioned to transact with activity resumed in the market. In the meantime, we've been keenly focused on asset management and our significant insider ownership in Ladder helps ensure our full alignment with shareholders in proactively managing any potential risks on our balance sheet. We're currently seeing stable performance in our loan portfolio, including for our office loans, which currently comprise 24% of the portfolio. Notably, 76% of our office loans were originated post-COVID and 56% are located in the Sunbelt. Well, we'll continue to monitor the pressures on real estate valuations, we did not have a need to take any specific impairments in the quarter. And as Paul will discuss the increase in the general portion of our Cecil reserve reflects our view of macro market conditions Our focus on dollars per foot or basis landing in the middle market continues to allow us to both demonstrate a meaningful distinction between the default and a loss on a given loan, and further distinguish latter would sustain credit performance. Turning to our other business segments. Our real estate portfolio continues to contribute to distributable earnings by generating $13 million of net rental income in the quarter, and our securities portfolio ended the quarter with a balance of $520 million. In furtherance of our goal of becoming an investment grade company, we have maintained a modest use of leverage coupled with a thoughtful composition of unsecured and non-recourse non-mark to market debt, anchored by $1.6 billion of long-term unsecured bonds and nears bond maturity is not until October of 2025. During the quarter, we repurchase $59 million of outstanding bonds at a discount, resulting in a $9.2 million gain and highlighting the dynamic nature of our business model. In conclusion, we like our positioning, our dividend is well covered from a primarily senior secured asset base that is demonstrating stable credit performance. And we delivered an ROE in excess of 12% modest leverage and robust liquidity. With that, I'll turn the call over to Paul.
Paul Miceli : Thank you, Pamela. In the first quarter, Ladder's diverse business model performed well, generating distributable earnings of $47.2 million, or $0.38 per share. Our net interest margin continued to increase and benefited from rising rates, and a liability structure of which approximately 50% at fixed rate. Our $3.8 billion balance sheet loan portfolios, primarily floating rate and diverse in terms of collateral and geography. The portfolio decreased $97 million in the first quarter due to $131 million of proceeds from loan pay downs, offset by $34 million from the origination of one loan and funding on existing commitments. In the first quarter, we increased our Cecil reserve by 25% to $25.5 million driven by the current market outlook. Overall, we continue to believe the credit of our loan portfolio benefits from granularity with an average loan size of $25 million and vintage, with over 84% of the portfolio originated post-COVID With limited exposure to any single sponsor or market. Our $900 million real estate segment also continues to provide stable net operating income to our earnings. The portfolio includes 156 net leased properties, with strong investment grade tenants that have long term leases, representing 73% of the segments. As of March 31, the carrying value of our securities portfolio was $520 million and was comprised of 84% triple A rated securities and 99.5% investment grade rated securities. In the first quarter, we receive $60 million of pay downs on these positions as their seniority and short dated maturity continues to demonstrate steady amortization. As of March 31, we had $950 million of same day liquidity and our adjusted leverage ratio was 1.8 times. This liquidity represents cash and cash equivalents plus our undrawn corporate revolver capacity of $324 million within maturity in 2027. Unsecured corporate bonds anchor our capital structure with $1.6 billion outstanding or 38% of our debt. The weighted average maturity of these unsecured bonds is 4.5 years, and they maintain an attractive fixed rate cost of capital at 4.7% average coupon. As Pamela discussed in the first quarter, we repurchased $58.7 million in principle of unsecured bonds at at 3.6% of Par. The retirement of such debt at a discount generated $9.2 million of gains. As of March 31, or unencumbered asset pool stood at $2.9 billion, or over 50% of our balance sheet. 74% of this unencumbered asset pool was comprised of first mortgage loans and cash and cash equivalents. We believe our liquidity position and large pool of high quality unencumbered assets continues to provide a Ladder with strong financial flexibility and is reflected in our corporate credit rating that is one notch from investment grade from two of three rating agencies. During the first quarter, we repurchased $2.3 million of our common stock at a weighted average price of $9.14. Our share buyback program authorization of $50 million has $44 million of remaining capacity as of March 31, 2023. Our undepreciated book value per share was $13.64 at quarter end based on $126.9 million shares outstanding as of March 31. Finally, our dividend remains well covered. And in the first quarter, Ladder declared a $0.23 per share dividend which was paid on April 17, 2023. For more details on our first quarter operating results, please refer to our earnings supplement which is available on our website, as well as our 10-Q.  With that, I will turn the call over to Brian. 
Brian Harris: Thanks, Paul. We're particularly pleased with our strong performance in the first quarter, especially considering the stress in the banking system that we witnessed toward the end of the quarter. As a few bank failures roiled the financial markets in March, we took comfort in the strength of our balance sheet. When volatility in the corporate bond markets caused indiscriminate selling of bonds and for sellers trying to raise liquidity, we stepped in and purchased about $59 million of our outstanding corporate bonds, generating a $9 million gain in the corner while decreasing our overall leverage and interest costs. This action was open to us because we had over $1 billion of liquidity at the time, strong credit performance for our asset base and very modest adjusted leverage of 1.8 times. Our strong balance sheet allowed us to take advantage of the market dislocation in March, and we will continue to seize upon opportunities like this as the year unfolds. We expect that our careful attention to credit liquidity and leverage will continue to lead the strong performance at Ladder Because our earnings are positively correlated to increases in short term interest rates, we again saw a meaningful increase in our net interest income that rose to $43 million in the first quarter versus $37.3 million in the fourth quarter, and versus $9.2 million in the first quarter of 2022. We easily covered our quarterly cash dividend of $0.23 per share with our $0.38 per share of distributable earnings per share. Our 12.3% ROAE, also compares favorably to last quarter of 10.2% and versus 8.4% in the first quarter of 2022. We stand ready to lend on quality assets that carry modest leverage, but transaction activity has been somewhat slow. We are seeing loan requests and are not having any arguments over the level of interest rates that we charge, but there is still a sticking point in the size of the loan requested. Borrowers are consistently requesting higher loan amounts than we are comfortable making, regardless of the rates offered to us. We expect to see lower loan amounts to be acceptable as time goes by, and a likely mild recession takes hold. With not much further to add in a quarter that speaks for itself, I'll leave you with two data points to consider when comparing our stock to other investments. The first is our dividend coverage of 165%. And the second is our modest adjusted leverage of just 1.7 times today. With unencumbered assets of $2.9 billion including cash at $626 million at the end of the first quarter, we are very well positioned to take advantage of market dislocations or the return to more tranquil market conditions.  As the regional and community banks contract a bit now fully aware of how mobile their deposit base is, we expect demand for our type of mortgage lending program to increase in the years ahead. We're very well capitalized and the competitive forces in the current market are rather muted. This should bode well for Ladder going forward, and we're looking forward to meeting that demand with our lending capabilities.  Let's now turn to Q&A.
Operator: Ladies and gentlemen at this time we will begin the question-and-answer session. [Operator Instructions] And our first question today comes from Jade Rahmani from KBW. Please go ahead with your question.
Jade Rahmani : Thank you very much. Not sure if the 10-Q is filed, I didn't see it, so apologize if it was. But any credit, changes of loads, risk ratings boxless those types of things, any updates that we should be aware of?
Brian Harris: No, James this is Brian. Well go ahead, you can answer. 
Paul Miceli : Yeah, I was going to say no. No non-accrual loans, no specific impairments.
Jade Rahmani : Okay. How would you say that the credit cycle is playing out versus your expectations? Clearly, there's a lot of headlines. But there are sizable increases in non-performance. We've seen earnings from the banks, that taking up reserves quite meaningfully. Some of the mortgage REITs have booked either losses or meaningful uptick in reserve. A couple others have not. But just curious as to how the credit trends are bearing versus your expectations for the market?
Brian Harris: Sure, I would say that, obviously you move interest rates up at the pace that they've been moved up over the last year. And you're going to feel obviously, a lot of dollars going into the lender column as opposed to the equity column. So there's a little bit of stress in the system for sure. I find though, that there's a lot of equity and a lot of capital in the system also. And if sponsors are having trouble extending or refinancing, it does seem to me that if they have capital available, they're willing to protect the assets at this point. And when I say the assets where I'm really talking about multifamily and office here. The industrial sector we're not seeing a lot of stress in that area at all. Retail holding up very well also, and hotels, I don't think I've seen hotels doing much better than this in a long time.  But like everybody worries about the office side, I think the office side is a little overcooked on the media side where they're telling you the world is ending. I do think there are some big cities and there's some big loans, where this is a bit more of a -- it's more of a social story more than it is a real estate story, at this point. You've got depleted amounts of the population returning to work in some of these cities. But I don't think it's necessarily a return to work problem necessarily, I think it has more to do with the specific cities, for instance, San Francisco, I don't think could be doing worse. Whereas New York is doing okay, Miami's doing very well. So it all depends really on where you are and what the population trends are as far as their attitudes towards returning to work. But so far, at least as far as the performance in our portfolio, specifically, we do seem lease has been signed that anybody who doesn't know and assigning leases is wrong. We are seeing it being slower in the office side in particular. However, oddly, the rental rates that are being charged by landlords are actually higher than we were anticipating in most cases.  So it's a little bit of a mixed bag, certainly. But I would say that so far, at least at the portfolio of Ladder, if sponsors have capital, and most do, they are protecting. And so far, most of them what I would call the damage is being incurred on the equity side of the equation as opposed to on the debt side.
Jade Rahmani : Thank you very much for taking the questions I'll get back in the queue.
Operator: And our next question comes from Sarah Barcomb from BTIG. Please go ahead with your question. 
Sarah Barcomb : Hi, everyone. Thanks for taking the question. So you mentioned earlier in the script, you have a little over $40 million of capacity on the stock repurchase authorization. That's something that you guys have been doing pretty consistently. I'm just curious how you're viewing the stock price now, if we could expect the pace of stock repurchases to ramp up in the near term and how you're thinking about that.
Paul Miceli : It we have usually plenty of room for that. The Board of Directors gives us a lot of leeway there. We look at the stock as another investment. And at various times and depending on what our capital situation is around cash and what our expectations are for disbursements of investments.  We've become more or less aggressive in the area, given the current pricing conditions where I see things at this point, at least over the last couple of weeks, I'd imagine we'd be back involved in the next quarter or so. But I wouldn't try to indicate to you that an already undersized company is looking to get a whole lot smaller. You did see us buy a sizable portion of our debt back. And at that time, the debt was yielding pretty close to what the equity was yielding. So we had a preference for the debt side.
Sarah Barcomb : Okay. And just to kind of move over to the multifamily book. We've received some questions on some of the perhaps more aggressive Sunbelt multifamily lending that might have happened during the rapid rent growth in ultra-low interest rate period. Can you speak to any exposure that you might have to perhaps negative leverage deals that might have been done during that period and any risk there might be in the portfolio?
Paul Miceli : Well, we did see a big run up in prices. And we saw a lot of loan requests for 80% leverage on a purchase price of a property that sold three years prior at half the price it was being sold at in 2021. We tended to avoid those transactions, unless there was a reason that we could point to concrete wise as to why we would expect the population of that area and the demand side of rental apartments and the income side that might be able to absorb -- getting to those apartments at those rents.  We didn't do a lot of that. In fact, we pretty much toward the end of '21, I believe, we noticed that spreads were widening in the CLO market. And I think a lot of lenders interpreted that to mean it was just the end of the year and that's what happens when LIBOR and so forget to the end of the year. We did not interpret it that way. And so we pretty much began bowing out of stabilized debt yields of six around that time. And we began using an eight on stabilized debt yield for on the exit.  So we don't have a lot of it. We also introduced the program because caps were so expensive, where we were funding construction loan takeouts, where we were funding brand new apartment buildings with CLOs and the only thing they had to do was lease them up. And we were writing two-year fixed rate loans. So a lot of our exposure is in that area. And they'll be coming due in '24 in all likelihood, and I've seen the business plans, they're doing fine.  We've had a couple of management misses where, you saw some delinquencies pop up, inexplicably, but then they solved it the following month, there was a computer problem. So we don't have a lot of exposure that I'm worried about. If I told you, and I don't have a number for you here, but if I had a concern, it would be on the Class C garden style apartment in a high crime neighborhood from 2019, we're 80%, levered 30,000 unit going into the property because there's a belief that the crime problem is going to be solved, and they're going to be able to charge higher rents. So I would look to the vintage as of 2018 and 2019 that have not refinanced yet, as potentially where trouble could be lurking.  But as far as where we are very attuned to, the debt yield on the exit, and began addressing that in late-2021. So I don't really feel like we have a lot of exposure there.
Sarah Barcomb : Right, thanks for that color. 
Paul Miceli : Yeah.
Operator: And our next question comes from Matthew Howlett from B. Riley. Please go ahead with your question.
Matthew Howlett: Thanks for taking my question. First, on payments. I mean, there were 131 for the quarter, it's pretty steady. What's the outlook on the repayment rate? And, Brian, I mean, how much are you willing to deliver the company? I mean, you talked about origination are going to come back. And so would you look to buy securities, what would you how low would you look to take leverage, if these repayments keep coming out and the market for origination isn't that good. 
Paul Miceli : I feel like we're as the levered as we need to be at this point. You never have to say the word you feel over capitalized, but because it could bite you in the butt one day. But, to me it feels like given the opportunity set that's out there, the return to borrowing at levels that we're comfortable with has been a little slow, I think it's inevitable that it's coming. So I want to hang onto a lot of dry powder at Ladder, and we're ready to make loans. But I do think that there is a bit of a plateau here, where buyers and sellers are not quite in sync. Although the lenders are beginning to push the issue a little bit. So I think we'll start seeing a pickup in activity there.  And interestingly enough, we actually did start seeing some loan quotes go out the door in the last month or so. And we were fine on rate, we were not getting to the proceeds requested. We did see other lenders getting to the loan proceeds that were requested, at least in the application phase they haven't closed yet. And, interestingly enough, several of the lenders that were getting those proceeds the number I had never heard of.  So there's also a group of investors, I think that's getting into the business now thinking it's a great time to make a loan. And I tend to agree with that. But it's still -- really still requires caution.  As far as leverage goes I feel on an adjusted basis below 2.0 [ph] times. We have an unusually high amount of cash laying around right now. You don't need as much cash when you're not terribly leveraged. And when we saw the opportunity to repurchase some of our debt in prices in the low-80s. That seemed a little bit too attractive to avoid.
Matthew Howlett: Do you buyback that you ran out of stock. But you've always been opportunistically, would you look at buying securities, real estate, I mean, obviously, First Republic, there's talk of $100 billion coming out of them, CMBS. And anything opportunistic wise that you could do with the excess capital? 
Paul Miceli : Yeah, I'd love to. And we're on the FDIC list for taking a look at some of the portfolios, especially here in New York out of the Signature Bank portfolio. We haven't seen anything and $100 billion coming out of First Republic. I mean, obviously, we're not going to tangle with that. So we do think it's almost everything is opportunistic right now. There is no regular way lending going on at all.  Nobody is borrowing 65% that SOFR plus 300 on an acquisition. It's very much a special situations market. And sometimes those special situations involve our own debt when the high yield market is selling off indiscriminately. And those bounce those prices have bounced back quite a bit here, although still quite attractive, in my opinion.  We're mortgage lenders at heart, we understand the securities business too. The securities business is attractive, but it does require quite a bit of leverage. And I'm a little bit concerned about some of the attitudes towards leverage in some of the banks. There -- it's not that they're not lending. They started charging a lot, you might have heard Pamela mentioned that we paid off a lot of our securities repo subsequent to the end of the quarter. The reason why as banks are charging 6.1% for financing triple A bonds that were earning 7.3% on. And they have 85% subordination because their CLOs from 2019. So we just think that rather than pay the 6.1%, will just pay that off, and we'll collect the 7.3% unlevered.  So they're very attractive, you can lever yourself into the 20s if you want. Obviously, that's a situation open to us. But to me, I am a little bit concerned when I hear that, First Republic probably might be selling $100 billion of loans and securities, that is not a constructive environment for us to be stepping in thinking that, spreads can't widen, because they certainly could
Matthew Howlett: Make sense. And the last question are a lot of your competitors and peers, they talk with just only doing multifamily, because you have the GSE take out there. I mean, does -- it sounds like that you're open to everything? And are you quoting tells you look at office. And then long term, is there any major impact on your model, the banks end up with higher regulation or they curtail or lending? 
Paul Miceli : Well, the regional banks are certainly going to wind up with crypto lending and higher regulation. So I think in the initial phase of whatever they're going to go through, I don't believe they're going to stop lending. I mean, they're still banks. And I think that they have now noticed that deposit base can be pretty tricky. So I think they'll all be running and they'll be paying higher deposit rates to hang on to deposits. They'll also be lending more conservatively, that will cause maybe some difficulty in refinancing our loans, although frankly, we haven't seen that yet.  We might -- there's also plenty of other lenders too and there's tons of small banks that don't have any problems along the lines of what you read about in the newspapers. Long term, I think it's positive for us, because I think it's another example of regulation, leverage and past mistakes, forcing a lot of the mortgage lending apparatus in the United States outside of the banking system. And since we service that mid-market borrower base. I think it'll come right to us. And that's very helpful so short term, not helpful on reifies. Long term extraordinarily helpful.
Matthew Howlett: Great, and then, just on the quote are you look, are you still lending to all sectors or something that you won't do now?
Paul Miceli : Yeah, well, we haven't made a loan other than multifamily in the last quarter. It's going to sound wacky, I like office. And I don't like office, because I believe office is going to do fine. And rents are not coming down in everyone's going back to work tomorrow. I just believe the story is a little overdone. And yet, I've got a portfolio of Office loans that are doing okay. And, we pick more offers these days, rather than supply and demand, as opposed to, we really look at where they're located. And I don't mean what corner I mean, what city.  So I can't imagine making a loan in San Francisco, I might buy a building there. I think Ladder could do that. Because I don't think it's kind of a binary outcome. The good part about all the problems that are taking place in some of these larger cities that are having difficulty with offices, the problems are quite fixable. And I think that they will ultimately get fixed over time. But Chicago just took a step backwards. So they won't be fixing their problems anytime too soon here. So I don't expect us to be a lender in Chicago, San Francisco, Portland, Seattle, Los Angeles, DC, and parts of New York.
Matthew Howlett: Makes it makes a lot of sense. I really appreciate that.
Paul Miceli : And the hotel sector, by the way, I'm sorry, I didn't get to that one. They're doing fine. But I do believe we're going to go into a mild recession here and rates are quite high. And I think the American consumer wants to get out and wants to go vacation. So I sort of like I've always --we've always favored the drive thru market and the resort market as opposed to the inner city. You know, I saw a property change hands the other day like 700 rooms in the inner city. That's difficult. And so those I think we would avoid. But we liked the Garden Inns, we liked the Courtyard.
Matthew Howlett: That's the issue. Yeah, this has helped me very well. I really appreciate it. 
Paul Miceli : Sure.
Operator: [Operator Instructions] Our next question is a follow up from Jade Rahmani from KBW. Please go ahead with your follow up.
Jade Rahmani : Sure, I wanted to ask just two strategic questions. One, do you see an opportunity to raise a fund, raise third party capital and maybe invest in office repositioning or some kind of contrarian or distressed oriented fund, since de novo pools of capital tend to do pretty well at this point in the cycle?
Paul Miceli : Yeah, certainly, there is an opportunity to do that. I will tell you, we haven't been overly active in that area, because it comes with systems and controls. But we have had outside funds in the past before we went public. But we just think it's good opportunity for that. But right now, we think given the asset base that we work off of. Keep in mind, we were the lending operations in two big Swiss banks in the prior 15 years.  And so we do see a lot of large loans and a lot of good opportunities. But I think we kind of work backwards there. I think if we wanted to do a $400 million, recap on a office property that we thought was really cheap, we would probably just buy it, and then then distribute it to some high net worth individuals or funds or insurance companies and syndicate it that way.  As opposed to just raising money for fun, because in my experience, anyway to a startup, I mean, you take an organization, that's a real asset manager, they raise money very quickly. And they have a whole system, people who go out and do it, we're a small operation with about 60 people. And we don't have all of the slides and all of the accounting systems that a lot of people that do investments institutionally like to see. But I do think we can do a lot of that right inside the REIT where we are right now. So I think will participate in it. And I think we'll do larger than bite sized transactions. And we'll syndicate it after the fact, as opposed to having the money in hand. It takes a long time to raise money that way. And some oftentimes, by the time, I mean, when we first opened Ladder in 2008, securities were so cheap, it was ridiculous. And we went about raising an outside fund. And ultimately, the funds we did raise were for rich people, as opposed to institutions. The institutions all knew, that we knew what we were doing. But we had to go through their advisor, and then we had to go through their due diligence periods.  And by the time they got around to saying, yes, the opportunity had passed. So these markets move pretty quickly. I think we specialize in things that move quickly. And, we have enough capital at this point to at least get started on things if things look particularly attractive. And we feel like we need more capital, I don't think we'll have any trouble getting that. But we're not anticipating a fund just yet.
Jade Rahmani : Okay, and then on the M&A side is merging with another company, something that is interesting to you. They're planning and mortgage REITs trading at below your valuation. And bigger seems to be better, although it could jeopardize the investment grade goal, but just wanted to get your thoughts on that. 
Paul Miceli : Yeah, I mean, there's a couple of names that I have written on the back of my hand that I think about once in a while, and it's really isn't so much that I think I understand the company so well, it's just I understand the people who run the company pretty well. And some of them are pretty talented people. And I doubt that the problems they're seemingly having are nearly as bad as what the stock prices would indicate.  So I think about it, it's certainly not outside of our wheelhouse. And, I always thought by this point, the first thing we might look at would be a residential platform. But the residential platform seems to have a lot of leverage in them. And you've seen us get away from that over the last few years. So unless something just walks through the door, that looks pretty cheap. Well, we're not going to do it as a capital raise, where we buy a residential platform and just sell all their balance and then use the cash for commercials.  I do think we could run a very attractive residential platform, especially now with some of the changes taking place in residential lending. But it is a long duration asset. And, I think we said before, why we haven't been in that business, and here it is, again, it's that long duration, risk, interest rate and management is very difficult to do. And you see a couple of banks now in some trouble and you see a couple of banks not in trouble that have huge losses that have not been realized yet. And this is a good time to get into the residential space though.
Jade Rahmani : Thanks for taking the questions. 
Operator: Our next question comes from Chris Muller from JMP Securities. Please go ahead with your question.
Chris Muller: Yes, thanks for taking the question. I said a quick one on what would make you guys more comfortable on getting aggressive on the lending side. Last year, you guys were able to put out some pretty big origination volumes. So is it more the Fed pausing or I guess what type of things would make you more comfortable stepping back on the gas there? Thanks. 
Brian Harris: I think if we, Pamela mentioned, transaction volume has been muted, that sentence can represent a lot of things. There's a lot of people looking to refinance loans, that the loans were written in a zero interest rate environment, and there's difficulty unless they've executed perfectly and possibly even done better, it's very difficult for them to handle today's rates based on the size of the loan they want.  I think where we get much more comfortable is seeing acquisitions of assets today, with today's underwriting, with new equity going in, and a very sober loan request. Whereas the so when Pamela mentioned, the transaction volume has been muted, not only has the loan side been slow, but the acquisition side has been very slow too and even see it on the residential side new mortgages are falling, you've got because rates have gone up.  So it isn't that we're uncomfortable. We're very comfortable lending in this, this kind of a market and even going into a recession, I tend to believe it's hard to write a very bad loan in a market like this. Because every assumption you use is probably a little bit worse than then what will actually happen. But we're just not seeing a lot of properties change hands. So what we're primarily focused on right now is acquisitions, and there just aren't many of them.
Chris Muller: Got it. That's helpful. And then just quickly on the dividend, can you just remind me when you guys address, either a special dividend or dividend increase? Is that an annual thing? You look at her that quarterly board look at that. Just seeing the pace of distributable earnings above that dividend. Looks like there could be something that needs to be done there. Thanks.
Brian Harris: We look at a quarterly, usually right before the dividend declaration date. So I'd imagine the first couple of weeks of June, we'll take a look at it again. Last year, we raised their dividend twice, for a total of 15% versus where we started the year at. And so we're going to revisit it again in June here. We took a look at it in March. And earnings look pretty good. And then I guess it was Silicon Valley Bank got in trouble around March 10. I think all of the bonds and all of the stock we bought back took place after March 10.  So when we were figuring out our next dividend, you know, calculation, the market was a little bit up in the air. And so we wound up supplementing the earnings of this quarter greatly in the last two weeks, largely as a result of the turmoil in the banking sector. So I think we'll be revisiting it again in June, and the first two weeks of June.
Chris Muller: Thanks for taking the question, guys. And congrats on a nice quarter.
Brian Harris: Thank you. 
Operator: And our next question comes from Derek Hewett from Bank of America. Please go ahead with your question.
Derek Hewett: Good afternoon, everyone. You had mentioned earlier bank behavior with securities repo tightening caused you to repay that source of funding on the securities book, but what about the bank behavior on the loan repo facilities? Are you seeing any changes in the bank's behavior to in regards to maybe advance rates, maturity extensions, requiring higher spreads in terms of their thoughts on the loan Repo facilities?
Paul Miceli : Pamela, I think you deal more with that than I do. I can answer it, but I think you'd do a better job with it. So I'm going to ask Pamela. 
Pamela McCormack: Yeah. And Paul, feel free to jump in. But the short story is we're not really seeing we don't first of all, let's start here we have very limited repo outstanding. So we haven't really in the first quarter, I think, Paul confirmed we did not have any margin calls. I think there is at least one lender who's looking at their multifamily exposure and looking at that yield and may make some adjustments there across the industry, as we understand. But to date, we have not funded a margin call. 
Derek Hewett: Okay.
Paul Miceli : Yeah, I can answer a little more there. I think it would be hard to replicate though the lending criteria that we've got right now in place on some of those. I think that they're tighter now in standard the rates are higher. On the security side, the only thing that really happened was rate went up. The spread went up. They didn't pull back on the advance rate. So it's not necessary. It's not a credit conversation. It's a liquidity conversation. And so as a result of that we just pulled back. 
Pamela McCormack : And to be clear, we also we funded some additional revenue, I think it was important for us to demonstrate the capabilities we have there and the capacity. So we funded some repo recently and have a ton of capacity there. And if anything, I think it's probably true for us and our peers, we're seeing people looking to open up new lines with us at this time. They're anxious to lend is the way I would describe it.
Derek Hewett: Okay. Thank you. And then with it within the office portfolio, is there any way to kind of segment what the kind of the higher risk like -- risk rated four or five office loans are since the 10-Q is not out yet?
Brian Harris: We don't use that kind of criteria. Paul, I think you have some information about how many of our loans were written after the pandemic. And if you hear my dog, I'm sorry, that's live calling. But Paul didn't have like 76% of our loans were the office sector was written after March of 21. So yeah, so we don't have them rated the way other people do it.  But last call, if you remember, we went through our five largest exposures. And, in fact today, I think was today or yesterday, I saw an article in the Wall Street Journal saying some of the Sunbelt office markets look like they're losing some of their momentum. And the place where we have our most exposure was on the bottom of that chart is in Miami not losing its momentum.  So we're not we're not having a lot of trouble with office, despite what's in the news. And we're reviewing business plans, we're sending people out to see properties. There are leases being signed, even in New York City, even in mid-block buildings in the garment district. It is just not as bad as what's being portrayed in the press.
Derek Hewett: Okay, thank you.
Operator: Ladies and gentlemen. With that, we'll end today's question and answer session. I'd like to hand the floor back over to Brian Harris for any closing comments.
Brian Harris: I'll just wish you all well and thank you for getting on the call and missing the Amazon action today. I know that they're releasing too, but thanks for hanging with us. And this was a good market for us. We don't mind rough weather. And as long as we keep our focus on credit, quality and liquidity and leverage we expect to be very, very profitable in the year and the quarters ahead here. So thank you.
Operator: Ladies and gentlemen, with that will conclude today's conference call. We do thank you for joining. You may now disconnect your lines.